Operator: Good day, ladies and gentlemen. Welcome to the CAE Fourth Quarter Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Andrew Arnovitz. You may proceed, Mr. Arnovitz.
Andrew Arnovitz: Good afternoon, everyone, and thank you for joining us today. Before we begin, I need to read the following statement. Certain statements made during this conference, including, but not limited to, statements that are not historical facts are forward-looking and are subject to important risks, uncertainties and assumptions. The results or events predicted in these forward-looking statements may differ materially from actual results or events. These statements do not reflect the potential impact of any non-recurring or other special items or events that are announced or completed after the date of this conference, including mergers, acquisitions or other business combinations and divestitures. You'll find more information about the risks and uncertainties associated with our business in our fourth quarter fiscal 2013 MD&A and in the annual information form for the year ended March 31, 2012. These documents have been filed with the Canadian securities commissions and are available on our website at cae.com and on SEDAR. They have also been filed with the U.S. Securities and Exchange Commission under Form 40-F and are available on EDGAR. Forward-looking statements in this conference represent our expectations as of today, May 16, 2013, and accordingly are subject to change after this date. We do not update or revise forward-looking information even if new information becomes available, unless legislation requires us to do so. You should not place undue reliance on forward-looking statements. On the call with me this afternoon are Marc Parent, CAE's President and Chief Executive Officer; and Stephane Lefebvre, our Chief Financial Officer. After comments from Marc and Stephane, we'll take questions from financial analysts and institutional investors. Following the conclusion of that Q&A period, we'll open the lines to members of the media. Let me now turn the call over to Marc.
Marc Parent: Thank you, Andrew, and good afternoon to everyone joining us on the call. As usual, I'll go through some of the highlights of the quarter and update our progress against some of the strategic imperatives we set for the year, and then Stephane will then provide a detailed look at our segmented results. And I'll come back at the end to talk about the way forward. Our results for the quarter and the year as a whole reflected the integration of acquisitions in Civil and in New Core Markets, as well as the restructuring actions we took in Civil and in Military. These activities caused some noise for us in terms of our results, but we met operational and strategic milestones that position us well for the year ahead and for the longer term. We maintained our leadership position overall and, although orders continue to be slower than we'd like in Military, we've done very well in Civil. On a combined basis, our backlog exceeded $4 billion for the first time in CAE's history, and a high proportion of that involves recurring services. Looking specifically at Civil, we acquired Oxford Aviation Academy to strengthen our leadership position in training by giving us a broader portfolio of solutions to offer our customers. The integration of Oxford has not been without its challenges, but we've made very good progress having already realized half the targeted $22 million of cost synergies. In view of the consolidation in the civil training market, Oxford was strategically important for CAE to acquire. We've been focused on getting profitability and return on capital up by eliminating cost overlaps and taking steps to improve asset utilization. During the year, we took what we believe to be the best of Oxford's and CAE's people and reduced our combined headcount by 231 employees. As well, we closed and consolidated 3 redundant training locations. We closed our Heathrow location in the U.K., Evora in Portugal, and 1 of our 2 locations in Brussels. We've also decided to consolidate 2 of our U.S. ab initio flight schools, which are located in Phoenix, Arizona. Across the total network, we've relocated 13 simulators, and 7 more are in the process of being moved. These actions are already translating into better results, with nearly $13 million of segment operating income generated by Oxford operations since we bought the company. This is noteworthy since it was nearly breakeven when we took it over. In terms of revenue synergies, they've really only just begun to accrue and will continue to build over longer term. Already, we've attracted an increased share of wallet from our existing customers who have embraced CAE's wider solutions offering involving crew resourcing services, as well as ab initio pilot training. Civil aviation training is a regulated market and overall, we're very pleased with our progress to enhance our position. With a book-to-sales ratio of 2.26x in the fourth quarter and 1.21x for the year, we've done well to build up our Civil training backlog. In Civil products, we had a good year as well, meeting our mid-30s full-flight simulator sales target. We sold 10 in the fourth quarter and 35 for the year as a whole. CAE's brand in simulation-based training is backed by nearly 7 decades of innovation, and we strive to be our customers' partner of choice. In a highly competitive market, we've maintained our leading position. Now turning to Military. Despite what has continued to be a challenging environment from an order standpoint, we've continued to book orders around the globe involving enduring aircraft platforms like the C-130J Hercules transport and the MH-60R Seahawk helicopter. Orders in the quarter were made up of simulator products and updates in support of the U.S. Navy and Air Force, the Royal Australian Navy and the Israeli Air Force. In Military Training & Services, we won contracts to provide a range of maintenance and support services for customers including NATO, the U.S. Air Force, the German Armed Forces and the Taiwanese Air Force. Also, during the quarter, we were awarded an additional contract as part of the KC-135 aircrew training systems program to provide operations and maintenance support involving the aircraft's boom operator trainers. Book to sales in Military was 0.95x in the quarter and 0.92x for the year, which is lower than we'd like but demonstrates the resiliency of our business even when faced with widespread delays in procurement. From an operations standpoint, we've made good progress in Military to adapt to the new realities of the European defense market. During the year, we reduced our workforce mainly in Germany, and the balance of layoff, which have already been provisioned, will be carried out in the second half of this fiscal year. In New Core Markets, we also did what we said we expected to do by delivering over $100 million of revenue, $112 million to be exact, and we achieved profitability. We developed new products in both Healthcare and Mining to expand our portfolio, and we've begun to see some synergies with our core Military and Civil businesses in terms of technology and market reach. During the quarter, in CAE Healthcare, we continued to make good progress penetrating global markets with sales of our surgical patient and ultrasound simulators, as well as center management systems to customers in Canada, the U.S., Australia, India and Saudi Arabia. In CAE Mining, we sold our mine planning software to customers in China and Russia and our latest modeling software to customers in South Africa and Chile. We also received a contract to implement a complete suite of geological data management, resource modeling and mine planning software to a gold mining company operating in Vietnam and Malaysia. Before I turn the call over to Stephane, I'd add -- I'd also add that I'm pleased with our progress against the 3 capital allocation priorities we communicated this past year. We prioritize 3 things: targeting investment in select growth opportunities, deleveraging our balance sheet post the Oxford acquisition and enhancing cash returns for shareholders. Since then, we've continued to fund growth on a selective basis, our net debt is lower, and we've increased the dividend as an expression of confidence in our business model. With that, I'll now turn the call over to Stephane.
Stephane Lefebvre: Well, thank you, Marc, and good afternoon, everyone. Consolidated revenue for the quarter was up 16% year-over-year at $587.9 million, and net income attributable to equity holders was $43.8 million or $0.17 per share. We had a $10.1 million after-tax impact from restructuring, integration and acquisition costs this quarter and excluding these costs, net income attributable to equity holders was $53.9 million or $0.21 per share. For the year, consolidated revenue was up 16% at $2.2 billion, and net income attributable to equity holders was $139.4 million or $0.54 per share. Excluding the impact of restructuring, integration and acquisition costs, this was $190.7 million or $0.74 per share. Income taxes this quarter were $7 million, representing an effective tax rate of 13% compared to 26% last year. The lower effective tax rate was mainly due to the settlement of tax audits, as well as the mix of income from various jurisdictions. Excluding the effect of the one-time items in the quarter, the income tax expense would have been $11.5 million. The impact of these one-time items represents $0.02 of earnings per share in the fourth quarter and, combined with the one-time items that added $0.04 in the second quarter, these added $0.06 total to our earnings per share for the year. In terms of cash performance, we had good free cash flow this quarter at positive $108.6 million, which results mainly from a reversal in non-cash working capital. We've been internally focused on improving our working capital efficiency, specifically getting at amounts tied up in unbilled sales or work in progress. For the year, free cash flow was at $118.9 million for a conversion of net income of 83%. Our free cash flow is generally higher in the second half of the fiscal year, and we expect that to be the case again in fiscal 2014. Capital expenditures totaled $32.4 million this quarter, including $29.5 million for growth and $2.9 million for maintenance. For the year, CapEx was lower at $155.8 million because of a targeted investment approach in CapEx synergies from the Oxford acquisition. Of that total CapEx, $121.2 million was for growth and $34.6 million was for maintenance. Maintenance CapEx was lower mainly because of the strategic repositioning of simulators within CAE's global network to optimize simulator configurations with customer requirements. Net debt was $916.8 million as at March 31, 2013, compared with $965.4 million as at December 31, 2012. The additional borrowing required to make the acquisition of Oxford brought our net debt to total capital up to nearly 50% from about 1/3 prior to the acquisition. We're comfortable with this degree of leverage, especially given the increased proportion of recurring revenue and cash flows we now have, but we said that our ideal structure involves about 40% net debt. We got this down to 45% in the quarter, so we're well on our way to reaching our target. Now looking at our segment and financial performance. In our combined Civil segments, fourth quarter revenue increased 54% year-over-year, reaching $332 million. Simulation Products/Civil revenue was higher sequentially because we had some advanced simulator builds in the quarter which turned to revenue upon contract. Combined Civil operating income was up 22% to $54 million year-over-year for an operating margin of 16.3%. Contributing to this overall Civil margin was a strong Simulation Product/Civil margin of 17.2%. The higher-than-unusual product volume in the quarter and a favorable program mix largely explain this performance. For the year, combined Civil revenue increased 38%, reaching $1.16 billion, while combined operating income was up 12% at $195.1 million. The rate of revenue growth exceeded profit growth for a number of reasons. Approximately half of the revenue coming from Oxford involves crew sourcing, which is a low-single-digit margin business. There were also a number of internal and external factors during the year that combined to affect both revenue and profitability of the Civil-based training business. These include some disruption caused by the integration of Oxford; lower demand for training in Europe due to recession, especially in countries like Spain; and the redeployment of 13 simulators within our global network, which affects revenue as they are ramped down and back up. In addition to moving existing assets, we also launched 8 new training centers last year in support of growth, and we deployed 20 additional simulators, which are also in the process of ramping up. The utilization rate in our training centers was 66% for the quarter, which is a reflection of these factors and, in a positive sense, demonstrate the resiliency of the business, which continues to be profitable even at these relatively lower levels of utilization. In our combined Military segments, fourth quarter revenue was 15% lower year-over-year at $227 million, and we generated a 12.9% operating margin. Like last quarter, the operating margin benefited from a favorable mix of programs. We are still in the process of reducing cost in Europe with the ongoing execution of our restructuring in Germany. As Marc indicated earlier, the restructuring provision was already taken to fiscal 2013 for the additional layoffs to come. For the year, combined Military revenue was down 7%, and our operating margin was 13.6%. In New Core Markets, fourth quarter revenue was up 20% to $29 million, and operating income was $1.8 million. For the year, revenue was up 35% to $112 million, and operating income was $6.4 million. Before we move on, I would like to provide a brief update on some of the changes in IFRS accounting standards, which affect us in fiscal year 2014 and onwards. Specifically, there are 2 changes that I wish to highlight, which deal with joint ventures and employee benefits obligations. A key takeaway is that these are changes in accounting policies and that changes in economics are the fundamental of the business. The overall impact on EPS is minimal. But with respect to joint ventures, we've previously accounted for them using proportionate consolidation, which meant consolidating results by individual line. Under the new standard, we must account for them under the equity method, meaning that I record our investment as a single line on the balance sheet and our share of net income from joint ventures on one line of the P&L. This has no impact on overall profitability of earnings per share, but it does result in lower revenue. When applied to our fiscal 2013 results, the impact on EPS is nil while revenue is $69.3 million lower. As for employee benefits obligations, there's a change in how the interest cost of pension expenses is calculated, which results in a higher expense. In addition, the interest cost component will now be presented within the financing expense line of the income statement. For fiscal 2013, the impact of higher pension cost is $3.5 million, which represents a $0.01 impact on EPS. With that, I'll turn the call back over to you, Marc.
Marc Parent: Thanks, Stephane. We undertook a lot of activity in fiscal 2013, which puts CAE in a stronger position for the future and enables us to resume earnings growth in fiscal 2014. In Civil, the secular growth in global air travel combined with the regulated requirement for aviation training gives further credence to the CAE investment thesis. The recession in Europe is affecting demand for air travel and the capacity being formed by airlines, but market drivers globally continue to be positive overall, though not as strong as last year. Effectively, worldwide passenger traffic growth as measured by revenue passenger kilometers for the first quarter of 2013 was 4.2%, down from 7.6% during the same period in 2012. If we break it down, emerging markets continue to lead with 6.8% growth versus 10.7% last year. Passenger growth in North America slowed to 1.8% from 2.7%; and in Europe, the growth rate decelerated from 7.2% to 1.8% on the same basis. In Civil training, the global diversity of our business means we'll continue to see training demand vary by region and market segment. During the quarter, we saw the effects of recession in Europe on training demand while emerging markets continued to outperform. As such, we continue to optimize the supply of training capacity with customer demand across our global training network. Oxford itself will be accretive to earnings in fiscal 2014, and we fully expect to realize the remaining half of our targeted $22 million of cost synergies during the year. In products, high sustained levels of aircraft deliveries bode well for another strong year in full-flight simulator sales. The competitive field is sharp, which affects pricing, but we continue to adapt to a dynamic market, and we're confident that we'll maintain our leading share. Overall, we remain focused on winning new business by strengthening our solutions approach, completing the integration of Oxford, ramping up new and redeployed assets and finding ways to maintain and improve profitability. In Military, our 2013 order bookings and $2.1 billion of backlog give us a decent start for fiscal 2014, but signing contracts remains the order of the day. Broad delays in U.S. procurements continue to be a factor, but the fundamentals for CAE and the defense market remain attractive, and we expect to grow the business over the long term. We have a well-diversified business geographically, with over 50 national defense forces and in terms of the broad range of programs we pursue. The average value of our top 20 contracts won this year was about $20 million. And looking forward, we see a similar profile. From an opportunities pipeline perspective, we currently have over $2 billion of proposals already submitted with customers. And as we've said before, bidding on defense programs is costly, and we only bid where we believe we have a good chance of winning. In New Core Markets, we expect continued double-digit growth as we ramp up our new products and expanded sales capabilities and further realize synergies with our core. We found ways to leverage both the technology and global reach of our Civil and Military businesses, and we expect our initiatives to bear fruit in the period ahead. To summarize, fiscal 2013 was a noisy year but involved a number of measures to ensure our future growth and enhance the CAE investment thesis. We invested to reinforce our leadership in civil aviation training, and, we expect to continue building on our position in what is a regulated market supported by positive secular trends in air travel. We took steps to adapt our Military business to new market realities, and we expect to continue demonstrating resiliency in the near term and growth over the long term. And in New Core Markets, we've been meeting our goals, and we expect continued success as we ramp up our new products and enhance sales capabilities. Thank you for your attention, and we're now ready to take your questions. Andrew?
Andrew Arnovitz: Operator, we now -- be pleased to take questions from analysts and institutional investors. [Operator Instructions] Operator, we'll take our first question.
Operator: [Operator Instructions] Our first question comes from the line of David Newman with Cormark Securities.
David F. Newman - Cormark Securities Inc., Research Division: Just on the production of Civil sims in the quarter, I know, Marc, sometimes you give that to us versus last year. What was -- what does that look like? And what does the pricing look like now? And maybe you can just talk a little bit about the Lockheed back[ph], Sim-Industries and L-3 and how aggressive they may or may not be on pricing, because we're hearing it is relatively tough out there.
Marc Parent: Okay. Let me just break those up. First question, I think we delivered 9 simulators in the quarter and 39 for the year as a whole. And pricing -- look, pricing, as I said is sharp -- I mean, clearly, both those competitors are -- they're trying to make their mark in the business and they're investing, and pricing reflects it. We've seen that before and we're seeing it again. But overall, I think that we'll be able to maintain our leadership in the market, and that's going to be our target. Having said that -- we're going to be prudent, and a lot of our competitive strategy involves -- pricing is certainly is a factor, and we have to be sharp. But in the end, we try to differentiate our offering, and I think we're fairly successful in differentiating and using our solutions approach. That's why, and you've heard me say in the past, we've been really guiding people to think about a combined Civil margin because in a lot of cases, we might want to -- as we give a bundled solution, sometimes you'll be orienting more towards a solution in services and -- at various types of products in -- sometimes even involving pilots to be able to have a competitive offer against companies that may not offer that full solution.
David F. Newman - Cormark Securities Inc., Research Division: Okay. And sorry to squeeze a quick one in there, do you see a move on right now of we take care of our own, kind of made in America with the loss of the KC-46 to flight safety? Are you seeing a move on to kind of an insourcing production into the U.S.? I know you have a good presence down in Tampa, but maybe just a few thoughts on that?
Marc Parent: No, I really don't see that. I believe -- clearly, we're -- the only thing I can say we're disappointed to have lost the KC-46. I think we really put a good bid in. I think the customer is very smart. I think they were -- we always expected it was a very competitive competition. Clearly, there was 5 very credible, strong players in there competing for the business and in the end, we scored a C [ph]. We scored the top of the range in all of the categories measured by the U.S. Air Force procurement. And in the end, it became a price shootout. I think -- I don't see any evidence or do I believe that there was any kind of nationalism played there.
David F. Newman - Cormark Securities Inc., Research Division: And once again, do you think pricing is -- because these guys are just getting -- military guys are getting a little more desperate, the pricing is getting a bit more aggressive there as well?
Marc Parent: You mean the -- are you talking...
David F. Newman - Cormark Securities Inc., Research Division: Yes, just overall. As guys get more -- a little more desperate, does the pricing get a little tougher?
Marc Parent: Well, I think -- look, there's no doubt that when you see a program like the KC-46, there's not that many around of that size. So clearly, whoever gets it gets a backlog that's going to last for a long time. And our view is that's a good margin -- a good backlog is great, but a great backlog but not a great margin, you suffer with that a long time as well. So we're prudent and -- we would like to win it, but we didn't base our strategy or outlook. Anybody that's followed what I've said over the last few years on one-on-one meetings or on this call have said that although I felt our chances were very good on that program, I certainly wouldn't have baked our full strategy and the outlook that we give on winning that program, purely because -- I mean, there was going to be at least 4 or now 5 competitors. So that's -- I think that reflects the situation. But clearly, coming back to your question, there's -- everybody wants to win in the military, so everybody's trying -- it is, it does become, at some point, like it was in KC-46, a price shoot out. But I feel very good about our ability to win. If you go back -- I mean, your question of nationalism, remember that we won the KC-135 Aircrew Training System contract, so that's a fairly big contract in itself. And we just got repeat orders in the quarter to evolving the boom operator training. So we're adding on to that. So we're quite comfortable although disappointed.
Operator: Our next question comes from the line of Cameron Doerksen with National Bank Financial.
Cameron Doerksen - National Bank Financial, Inc., Research Division: Question on the -- I guess on the outlook specifically in Military, you've talked about the bid pipeline. And I guess, to some extent, Marc, the answer to this question is going to depend on how the timing of these awards come. But can you maybe just talk about what your expectation is for Military revenue growth or declines in fiscal 2014?
Marc Parent: Look, it's very hard to answer that question precisely because I think you answered it yourself in saying that it all depends on orders coming to fruition, and it's -- unfortunately, I don't give a lot of great outlook on that. But I think what I said in my call is I believe we'll have resiliency in this market. So you say plus or minus what we did this year, more plus than minus I would say. So to me, we've got a good backlog. We're starting the year pretty close to where we were last year in terms of what we've got booked. Again, I looked at -- we have $2.1 billion of orders that have -- that we've got proposals in, that are great proposals. So look, I fully expect that we'll be able to sustain the business. I don't think we're going to shoot the lights out. But either way, I think that we're going to go down that much.
Cameron Doerksen - National Bank Financial, Inc., Research Division: Okay. And then just maybe, if I could also squeeze in another quick one, just a similar vein just on the full-flight simulator orders, you typically do give us a number on what you expect for the coming year. I'm just wondering if you can give us a rough number again?
Marc Parent: Well, we usually give that in Q1, Cameron, and I'm going to buy myself another quarter to do that to Q1. But I expect -- the production rates haven't really changed. They're still high. So -- I mean, you would expect that disc one [ph] is an indication we had another strong year.
Operator: Our next question comes from the line of Fadi Chamoun with BMO.
Fadi Chamoun - BMO Capital Markets Canada: Also question on the outlook. On the Civil aviation side, I mean, they have a few things going on here. You talked about redeployment of some sims and the weak environment in Europe, the pricing environment is somewhat competitive, I guess, on the product side. But demand is getting better, your utilization is low and probably rising, Oxford integration. So can you give us a sense -- as you shake all these things sort of going into the next 12 months, do you see scope for margins to improve? And do you still see that 19% target margin in Civil aviation in your eyesight?
Marc Parent: Well, I think -- Fadi, I think you've highlighted exactly all the moving parts this year that makes a precise answer difficult. I mean, clearly -- you're right. I mean, the one I think you haven't highlighted there -- but we -- as I said on my remarks, I would expect that we would -- well, not to expect. We will realize this $11 million range of cost synergies from Oxford because we're shutting the facilities down. So those costs will come forward as reductions. We will see higher volume. We have new simulators coming online. We have others that we've moved -- that will be moved and now are starting to earn revenue where they're at. We have others that we're -- because of the situation in Europe -- I mean, that's a bit of a compounded effect or -- in the one hand, it's more difficult. As seen in Q4, there's been a reduction in activity in Europe but really, for us, is that gives us -- our reaction to that most likely is to move more sims out of Europe into regions that -- where the demand is much higher. I mean, that has a short-term effect. It has a positive effect on capital deployment because we're going to put sims anyway. So it probably offsets some capital. But look, coming back to your question, I think if you take all those factors, it makes a precise estimate on margin pretty difficult. But what I would tell you, my expectations is look, we said that 19% is where the market -- at the top of the market in commercial and civil aviation coming back. And I think those assumptions are still intact as a combined Civil margin. With all the facts that we have, I don't think we're going to get there this year. I don't expect business aircraft to come back to that level just to start. But if I look at where we've finished this year, I think we should do better than that. If you ask my best estimate of that right now, I think you're -- I would say 17%, 18% on average as a full year average, but targeted the -- targeted towards the back end of the year. Because precise -- mainly because we're going to continue to move sims. And the other factor is, we talked about on the previous question, is the competition. That's a wildcard that will, on the short term, could affect product's margins. And if we put a -- bring a solutions approach to it, you might want -- we might want to give a little bit on product margins towards a higher service margin, but the service margin, of course, realizes itself over a matter of time. So it's not short term. So look, I think we'll do a little bit better I think this year with the 16% range. I think we should do better than that as an average for the year. Again, more back ended, but I don't think we'll get to 19% this year.
Fadi Chamoun - BMO Capital Markets Canada: Okay. The other question is of the same sort on the Military side. So your book-to-bill is pretty -- on the weak side for the product and stronger on this services side. Does this suggest that maybe some -- unless you get some orders product wise, you'll probably going to see some pressure on the margin this year? Like how should we think about Military margin given that mix?
Marc Parent: Well, I think it's -- we have to get product orders, there's no doubt. Because as you well know, the product orders turn to revenue faster than service orders. So clearly, that's -- a strong focus of ours is to get product orders. So look, I mean, in the end, you could -- it depends on what your assumptions are. At the moment, we feel we'll be able to get the product orders to sustain the margins, but I think our previous margin outlook is probably fine. I mean, Stephane, you want to add to it?
Stephane Lefebvre: Yes. And I look at what -- the kind of margins, Fadi, that we've generated in Mil this year at 13.5%, 13.6%. You may recall, in the second quarter, and I've talked about it in my remarks, there were a few onetimes that sustained the margin up. But if I remove all these onetimes for the year, our Military margins really, the starting point, is close to 12.5%. And the way I look at it is you need 2 things to happen to get back to the kind of levels where we've been in the past. The first thing is obvious, structuring the -- having the right cost base. And the second thing is getting some more volume. Just in terms of trend, we -- I think we'll expect margins to be higher on the product side and a bit lower on the service side going forward. But if I look at where we finished the year, going back on my 12.5%, and we've benefited from good program mix, especially in the second half of last year, I think as you -- in order for us to get back to 15%-plus margin, you probably have a couple of percentage points related to adjusting our cost base, which we're in the process of doing. And as we said, we're completing our restructuring in the first half of this year and probably another couple of percentage points related to getting some volume in. But I think as a starting point, I think the way I look at my portfolio in military today, we probably have a business that's running at -- anywhere between -- around 12%, 11%, 12% and about a couple of percentage points when our business is fully restructured in Europe. Another couple of percentage points with higher volume.
Operator: Our next question comes from the line of Benoit Poirier with Desjardins Securities.
Benoit Poirier - Desjardins Securities Inc., Research Division: Could you maybe provide some color about the implication of the bidding for the KC-46? I'm just wondering if the costs were incurred already, if it negatively impact your margin or if it will it impact the margin in Q1?
Marc Parent: No, everything was expensed, Fadi -- sorry, Benoit.
Benoit Poirier - Desjardins Securities Inc., Research Division: Okay, perfect. And comment about the magnitude of that cost?
Marc Parent: We wouldn't disclose it, no. I wouldn't get into that. I mean, it's a big bid, so it obviously cost money. I'll not talk about that, but we don't -- that's competitive information we wouldn't want to give, Benoit.
Operator: Our next question comes from the line of David Tyerman with Canaccord Genuity.
David Tyerman - Canaccord Genuity, Research Division: A couple of housekeeping questions. I was wondering if you could give us some thoughts on tax rate for fiscal '14 and CapEx for fiscal '14?
Stephane Lefebvre: I can certainly do that, David. We -- so as you've seen, the tax and -- the way I think I would look at the tax rate this year, although 13% in the last quarter was very low, as I explained, that resulted from -- good news for us, successful closure of some tax audits that we had in different parts of the world and it provided a net benefit of about $0.02. So excluding that item, our tax rate in the fourth quarter would have been 22%. Now if I take the whole year and I carve out all the noise and the onetimes that we had in the year, I get to a 24% tax rate. That's for fiscal year '13. Now going forward, thinking about some of the dynamics that Marc has talked about with our German operations being restructured next year. That's a high tax rate jurisdiction. So I'd expect a higher taxable income coming our way from Europe in Germany, from Europe as well, from -- once we get the cost synergies going in Oxford, we either -- we see some growth in the U.S., which is a high tax rate jurisdiction as well. So I would expect a higher tax rate next year. I think a 26%, 27% rate is a good number to use.
David Tyerman - Canaccord Genuity, Research Division: Okay, that's great. 26%, 27%?
Stephane Lefebvre: Yes.
David Tyerman - Canaccord Genuity, Research Division: And the CapEx?
Stephane Lefebvre: Well, CapEx we finished at $155 million. I wouldn't expect that figure being very, very different in the next year. There's still some moving parts in the number of sims that are being relocated, so we'll update you as we continue progressing that -- going through that exercise. But I wouldn't expect a big increase in fiscal '14 from the $155 million that we finished at.
David Tyerman - Canaccord Genuity, Research Division: Just one other quick question on the -- amortization of intangibles seem to go up in a lot of categories in Q4, unusually high. As we see TSM in New Core Markets, was that just turning up for the year? I'm just wondering how should we think about that when we're modeling.
Marc Parent: No. I mean, it's a good point. I think -- I mean, we've -- we still are going through an ERP implementation, and we've achieved some successful milestones during the year. And as soon as we hit full implementation of some modules, we start depreciating the asset. So that's one part of it. The other part of it is obviously the amortization of intangibles that we recorded as part of the Oxford acquisition. So there was nothing completely unusual in the amortization of intangibles in Q4. I think it's a good proxy to use going forward. And if I may, while I'm on some of these items that I think are important for -- to think about our profit level for next year, the interest line has moved as well from the beginning of the year to the fourth quarter. We finished in the fourth quarter, I think the interest expense was $18 million, and this is really good -- I think a good proxy going forward simply because it factors in all the refinancing that we did during the year. So I would expect a tax expense around $18 million, $19 million per quarter in interest expense in the -- per quarter in fiscal '14.
Operator: Our next question comes from the line of Ron Epstein with Bank of America.
Elizabeth Grenfell - BofA Merrill Lynch, Research Division: It's Elizabeth in for Ron today. Just one other housekeeping question. Did you touch on what restructuring expense would be in 2014?
Marc Parent: In 2014?
Elizabeth Grenfell - BofA Merrill Lynch, Research Division: Yes.
Marc Parent: Stephane?
Stephane Lefebvre: No, we -- I mean, we don't expect to have any in 2014. We've closed our restructuring expense in '13, and we say there's still some restructuring activity. Some people still have to -- some people will be leaving the company in the first half of the year because it takes more time to complete the whole process with some of the employee unions in Europe. But we've provisioned for all that in fiscal '13.
Andrew Arnovitz: Operator, we do require the remaining time for members of the media. I would like to thank members of the investment community for joining us on the call, and I will be available after this call to follow up with anyone who may not have had their questions answered. So operator, would you please open the lines to members of the media?
Operator: [Operator Instructions] There appears to be no questions.
Andrew Arnovitz: Operator, if that's the case, then perhaps we could reopen the line to members of the investment community who may not have had their questions answered. Can you use the remaining...
Operator: Perfect. Yes, sir. We do have one more question from the line of Chris Murray with PI Financial Corp.
Chris Murray - PI Financial Corp., Research Division: Guys, I was wondering if you could talk a little bit about the success you had in the quarter with booking a pretty strong level of orders in Training & Services/Civil. And I was wondering, is this a sort of an indicative trend? Or was there something special in the quarter that actually drove that level as high as it did?
Marc Parent: Well, there's a number of -- wont go down on the detail there, but I think as indicated in the sense that there's a few of those that involve longer-duration service type deals, and that's the kind of things we want to go after. We like to do that, part of a solutions offering. So I mean, when you get those, you may be getting a few years of -- at one sub [ph] of revenues. So here you get a good backlog from that sense.
Chris Murray - PI Financial Corp., Research Division: Okay. And I guess what I'm trying to think of is, is that a function of letting you plan either a higher utilization over the next little while and maybe be able to plan the deployment of some of the Oxford assets more efficiently?
Marc Parent: Yes, absolutely. Because really, what it does is it gives you visibility of the anticipated train load in any one of your centers or simulators so then you can count on the revenue being there because you've already signed them up. So then it becomes -- I mean, the only variation then is -- well, the airline may have signed up, say, for 3 years of training. And when they send their pilots, it might vary depending when they're flying the most or not. But by and large, it gives you a very good base of business to predict your level of activity.
Stephane Lefebvre: And Chris, this is Stephane. If you look at the MD&A, you'll see we've disclosed the number of contracts signed in the quarter. And I mean, the good news for us there, they're really long term by nature. So that's why you see a bigger value of order intake in the quarter.
Chris Murray - PI Financial Corp., Research Division: I mean, is there a way to kind of describe what maybe the average life of the contract would be in aggregate?
Marc Parent: Well, some of those contracts in Civil, and I'll talk more generally because I can't get into specifics of that -- for some of the customers we signed up, but we've got some contracts that go for 3 years, could go for 5 and in certain cases, even 10 years. So a bit of a mix of different terms.
Operator: Our next question is a follow-up question from the line of David Tyerman with Canaccord Genuity.
David Tyerman - Canaccord Genuity, Research Division: Yes. Just a broad question on the Military side and also the Civil simulators side. Cam asked the question, I'm going to kind of ask it in a broad sense. Are things -- we're now somewhat into sequestration now. Are things better/worse than, say, a year ago? Is it murkier than a year before or clear? Can you give us any sense of that? And then on the Civil equipment side, are we still in a kind of a similar environment where we've been for the last couple of years? Or is it getting more competitive? I'm just wondering if you could just provide any further thoughts on those 2 areas.
Marc Parent: I think sequester -- look, I think a sequester is a -- was a big event. I think the actual cuts, those drastic cuts that people predict, I haven't seen them yet. It doesn't mean they won't come, no. I think we see activity -- you see all kinds of things. You see the U.S. Air Force canceling a little grounding 18 fighter squadrons. You see the U.S. Navy canceling an aircraft carrier deployment. You see FA closing down patrol cars. So there's no doubt there's an effect having out there. Now for our business, we haven't really seen a big change in the level of business that we're doing. It has created more uncertainty on the order side, mainly because, I said this last quarter there, some of the civil contractors that are being laid off are some of the people that actually administer the paperwork associated with -- awarding contracts. So that's creating a disruption. But we've been living in a very uncertain kind of environment for the better part of 2 years as regards to the U.S. Military procurements. We had continuous budget resolutions. Remember, we had a whole debate about fiscal cliff, at least the sequestration. All of this has been -- I think it's a continuing environment, and we'll see. I mean -- but in the end, I don't think it changes the outlook that we've given. From -- in Civil sim -- Civil business, I think, as I mentioned, the statistics of patents or traffic are not as high as they were last year, but they're still high. They're historically high. But again, not as high as last year. So from that point of view, things are a bit lower, particularly in Europe. If I look at competitive, yes, it's got more competitive. There's no doubt in my mind it's gotten more competitive. Different competitors, I would say, are more competitive since last year. But if I was to compare over the history that I've been here, we've seen a number of competitors over the period of time. So as an aggregate, I wouldn't say it's not a competition level that we haven't seen before, and we think we can be successful.